Operator: Welcome to the Yelp Q2 2014 Earnings Call. My name is Alexandra, and I will be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Wendy Lim. Wendy, you may begin.
Wendy Lim: Good afternoon, everyone, and thank you for joining us on Yelp's second quarter earnings conference call. Joining me on the call today are CEO, Jeremy Stoppelman; and CFO, Rob Krolik; and COO, Geoff Donaker, will join us for Q&A. Before we begin, I'll read our Safe Harbor statement. We will make certain statements today that are forward-looking and involve a number of risks and uncertainties that could cause actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release results of any revision to these forward-looking statements in light of new information or future events. Please refer to our SEC filings as well as our financial results press release for a more detailed description of the risk factors that may affect our results. During our call today, we will discuss adjusted EBITDA, a non-GAAP financial measure. In our press release issued this afternoon and our filings with the SEC, each of which is posted on our website, you will find additional disclosures regarding this non-GAAP financial measure and a reconciliation of historical net loss to adjusted EBITDA. And with that, I would turn the call over to Jeremy.
Jeremy Stoppelman: Thanks, Wendy, and welcome, everyone. We had a great second quarter. Revenue increased 61% year-over-year, marking our 10th consecutive quarter of 60-plus percent growth since our IPO. And for the first time as a public company, we achieved profitability. Our mission is to connect people with great local businesses and to that end, the consumer experience is our top priority. By empowering consumers to share their opinions about local businesses, we have revolutionized how consumers discover businesses and make purchase decisions. With over 61 million reviews contributed and approximately 138 million unique visitors, we believe Yelp has become the preeminent destination for local search. Consumers are increasingly engaged with these local businesses, making phone calls, mapping directions to businesses and booking reservations among many other activities, all directly on Yelp. Recently, we added another innovative way for our community to contribute and connect. Consumers can now capture and post short videos to Yelp business listings. And while it's still early, we've been delighted by the high-quality videos that have been posted to date. Our focus on community and the mobile experience has yielded great results. In Q2, monthly mobile unique visitors grew over 50% year-over-year to 68 million and nearly 40% of new reviews were written on mobile. We also delivered more than 50% of our ad impressions on mobile. Closing the loop with business owners has also remained a focus. In June, we revealed our Message the Business feature which allows consumers to contact businesses directly through Yelp. For example, in the first 3 weeks after this functionality went live, a Mexican catering business received over 30 messages with requests for price quotes and availability. Giving consumers the power to interact directly with businesses on Yelp enhances the consumer experience while delivering high-quality leads to businesses. Since its launch, consumers have sent about 100,000 messages to businesses through Yelp. In May, we introduced Yelp Reservations, a free, light version of SeatMe's front of house restaurant management product. Restaurants that aren't big enough or busy enough for the robust functionality of SeatMe can, in minutes, start accepting online reservations through their Yelp business account. This feature has been well received, and one of the early adopters of this new product has already seated over 900 diners. We now have thousands of restaurants using Yelp Reservations, and we look forward to rolling this product out worldwide. Internationally, the Yelp brand continues to become more prevalent. Last quarter, we launched in Argentina and Japan, our 26th and 27th countries. In the first 2 months since its launch, our community of active contributors in Buenos Aires grew faster than any other Latin American market. We've also been particularly pleased with the Japanese market. In June, Japan led all international countries in Yelp iOS app downloads, which is encouraging given its mobile-centric culture. Based on our successful launches in these new countries, we are excited to see Yelp reach even more people around the world. Let me take a moment to acknowledge Yelp's 10th birthday, which we are celebrating this summer. A decade ago, we founded Yelp in San Francisco as a better way to connect people with great local businesses. Today, we're a profitable global company with vibrant communities in 27 countries around the world. Still, we believe the opportunity before us is enormous. There are tens of millions of local businesses in the countries we're in, and our sales teams are educating thousands of business centers daily about online advertising and the value of Yelp. Product and engineering continues to enhance the consumer experience and drive value for local businesses. The entire company's hard work and dedication has led to our outstanding performance quarter-after-quarter, and I'm proud of everything we've accomplished in our first 10 years. Looking to the next decade, we see tremendous opportunity and remain focused on our mission to bring local consumers to the doors of the best businesses worldwide. And now I'll turn the call over to Rob for the financial details.
Robert J. Krolik: Thanks, Jeremy. Please note that we have posted a few slides on our Investor Relations web page that accompany the financial portion of the webcast. As Jeremy mentioned, in the second quarter, our revenue grew 61% year-over-year to $88.8 million. To put this in perspective, this was greater than the revenue we generated in all of 2011, just a short 2.5 years ago. Adjusted EBITDA was $17.2 million in the second quarter compared to $7.8 million in the second quarter of 2013, more than 120% increase. And for the first time, we generated net income of $2.7 million. Moving on to the key operating metrics for the second quarter. Cumulative reviews grew 44% year-over-year to approximately 61 million as we added about 4 million reviews in the quarter. Active local business accounts, which includes paying SeatMe customers, grew 55% year-over-year to approximately 79,900. Claim local businesses were 1.8 million, up 43% year-over-year. Our average monthly unique visitors grew 27% year-over-year to roughly 138 million. Average monthly mobile unique visitors grew 51% year-over-year to approximately 68 million. International traffic grew over 80% year-over-year to approximately 31 million unique visitors on a monthly average basis. In June, international traffic declined month-over-month due to Google's algorithmic change in late May. The effect was seen primarily in markets with smaller communities. We believe that by continuing to focus on community growth and high-quality content, our international traffic will increase as we've seen in the U.S., where domestic traffic did increase with the algorithmic update. Let me run down the P&L, starting with the revenue mix, to provide some additional color. We are seeing continued growth across all revenue sources. For the second quarter, local revenue accelerated to $75.7 million, up 69% year-over-year, driven by accelerating revenue growth across all 3 of our cohorts. We have also been particularly pleased with the success of our performance-based advertising product. We have been working to enhance our CPC offerings over the past 18 months, and while it's still less than 20% of total revenue, CPC revenue has been growing quickly. Brand revenue was $9.1 million, up 28% year-over-year, and other revenue increased 27% year-over-year to $4 million. International revenue contributed about 3% of total revenue in the second quarter. Our customer repeat rate, defined as a percentage of existing customers from which we recognize revenue in the immediately preceding 12-month period, was 75%. Gross margin was 93%. We continue to see leverage in the model while investing to capture the vast opportunity ahead. Total sales and marketing was approximately 54% of revenue compared to approximately 56% last year. Sales headcount in the second quarter grew 62% year-over-year. Given the results we've seen and the large market opportunity ahead of us, we intend to continue to invest in sales and marketing. Product development was approximately 17% of revenue compared to 15% in the second quarter of last year. G&A was 15% of revenue compared to 18% in the second quarter of last year. We generated approximately $11 million in cash from operations in the quarter. For the third quarter, we expect revenue in the range of $98 million to $99 million, representing a 61% year-over-year increase. We expect adjusted EBITDA for the third quarter to range between $18 million and $19 million. We also expect stock-based compensation to range between $12 million and $13 million and depreciation and amortization to be approximately 4% to 5% of revenue. I'm pleased to announce that we are increasing revenue and adjusted EBITDA guidance for the year. We expect full year 2014 revenue to be in the range of $372 million to $375 million or approximately 60% growth over 2013. For the full year, we expect adjusted EBITDA to range between $67 million and $69 million, a 130% increase over 2013. We expect stock-based compensation to be approximately $45 million to $47 million and depreciation and amortization to be approximately 4% to 5% of revenue. For modeling purposes, in the third quarter, we expect our weighted average diluted share count to be approximately 78 million shares and our weighted average basic share count to be approximately 72.5 million shares. For the full year, we expect our weighted average diluted share count to be approximately 78.5 million shares and our weighted average basic share count to be approximately 72 million shares. I'll now turn the call over to the operator to open the call up for questions.
Operator: [Operator Instructions] We have a question from Youssef Squali from Cantor Fitzgerald.
Youssef H. Squali - Cantor Fitzgerald & Co., Research Division: Two quick questions, please. First, can you address the active local business accounts growth, please? I think you added about 5,900. That was slightly below what you added in the prior quarter, and that includes SeatMe. So first, can you quantify how much -- how many business accounts did SeatMe bring and maybe why the sequential decline? And then on the cohorts analysis, hats off to that acceleration in growth, but just trying to understand if there was anything specific that drove that. Was CPC a major driver there, or was there -- was it something else?
Robert J. Krolik: Youssef, thanks. This is Rob. So on the active local accounts and actually probably for both questions, in terms of our sales force, what they're given is quota for the month and they go out and they do a great job of hitting that quota. So there's no -- and that quota is based on the revenue component. So in terms of active local business accounts, we're very pleased with where we ended up in the year-to-date. So through June 30, we're at almost 80,000 paying local accounts, and we feel good about that number. And it obviously drove our revenue up 61% quarter -- year-over-year. So in terms of -- so there's no specific guidance that we give for local -- paying local accounts. In terms of the cohort analysis, I think that just continues to show that we have a lot of opportunity in the markets that we're already in, even our oldest markets. Each cohort accelerated in growth from actually last quarter. And in terms of specific reasons, either CPC or what not, there's probably no specific reason. I think just our brand ubiquity continues to grow. The partners that we -- partnerships that we have developed helped that. The fact that we have more salespeople calling in to different markets now globally also helps. So -- and obviously, product innovation. We've done a lot of things on the close the loop that shows customers the value of our product. So I think all of those things are helping us accelerate in that area.
Youssef H. Squali - Cantor Fitzgerald & Co., Research Division: And on SeatMe, any chance you can quantify that?
Robert J. Krolik: Yes, we're not giving out the SeatMe specific. Maybe at some point in the future we will. You can imagine that it's a pretty small percentage or even number of that.
Operator: The next question comes from Mark Mahaney from RBC Capital Markets.
Mark S. Mahaney - RBC Capital Markets, LLC, Research Division: I want to ask on the broad topic of Google. There have been some, I don't know, press reports recently about perhaps you're seeing greater -- obstruction is the wrong word, but challenges in getting leads. But at the same time, you made some comments about how Panda in the international markets may have hurt some of your traffic because your assets weren't built up enough, but in the U.S. it helped where your content would be more relevant. So just big, broad question, how do you think about that as a channel? And for positive or negative, have the trends changed dramatically for you over the last year?
Jeremy Stoppelman: Mark, this is Jeremy. I think obviously, we've been competing with Google over many, many years now quite successfully. And we think that by focusing on great content and building, fostering, growing communities continues to be the right strategy. And in fact, where we have the largest communities in the U.S., we've seen actually an uptick as a result of the recent Google algorithmic change. They're constantly making changes and alterations, some of which has been in the media. And most of that really, on a day-to-day basis, doesn't have a material effect. And so I think fundamentally, we feel that everything is still in good shape. Consumers are flocking to our content. You can see that in our overall traffic growth, and so we're just going to continue to focus on community building and content quality.
Operator: Brian Fitzgerald from Jefferies.
Brian Patrick Fitzgerald - Jefferies LLC, Research Division: On the Call to Action side of the business, can you give us some qualitative penetration or usage rates? How do you feel about how that's being deployed into your local customers? Has it been a helpful way to acquire those who maybe haven't been paying for the service before -- or paying you for services before? And then in terms of the user engagement, is there any way you can differentiate between clicks to call versus clicks for directions in terms of either usage or monetization of those 2 different buttons, if you will?
Geoff Donaker: This is Geoff. Thanks for your questions. I guess first off on the Call to Action. That's been a great product that has been another arrow in the quiver of our sales team as they're introducing Yelp products to a variety of different business owners out there. There's no specific new metric that we have on that. Certainly at this point, a decent percentage of our advertisers do use the Call to Action product, and they're getting a variety of leads out of that. But we haven't updated a specific metric around that. I wouldn't say it's changed any sales trends or kind of meaningfully changed the conversation. But it is, again, one more nice arrow in the quiver as we're having those conversations with business owners. And then, Rob, on the...
Robert J. Krolik: Yes, thanks, Geoff. Brian, on the number of phone calls and directions, in order to give you a little bit of insight into that, we've generated about 46 million calls in the quarter, which is up about 41% year-over-year. In terms of directions, which is also map views, we generated approximately 36.5 million directions or map views, and that's up about 25% year-over-year. So we're obviously giving a lot of these local business owners high-quality leads for either people to call in to them or actually go into the start by mapping directions.
Operator: The next question comes from Kaizad Gotla from JPMorgan.
Kaizad Gotla - JP Morgan Chase & Co, Research Division: Your international -- I'm sorry, your earlier cohorts continue to witness really strong accelerating growth. So I'm wondering if you're continuing to hire a lot of sales heads to support that growth. Just trying to understand sort of the profitability trends in the older cohorts.
Geoff Donaker: Sure. Thanks for the question. I think one of the things that's important to understand about the cohorts is that we did break those cohorts out back when we went public to help people understand metrics on a kind of city-by-city level relative to the age of those Yelp markets. That having been said, when we think about salesperson allocation into those cities and cohorts here at Yelp, we're really not focused on managing to any kind of city or cohort level. So yes, our sales team has increased pretty significantly. I think we said over 60% in the last year, and we'll continue to grow that sales team pretty aggressively given how high performing the team has been. That having been said, again, they're not really focused on any one particular market or any particular cohort. Rather, as we bring new sales reps in, we go ahead and assign them into territories based on where we have the most new content and opportunity to sell.
Operator: The next question is from Lloyd Walmsley from Deutsche Bank.
Lloyd Walmsley - Deutsche Bank AG, Research Division: Wondering if you can give us any impact -- update on the impact of some of the marketing tests you're doing, either in terms of consumer traffic in those regions or better merchant acquisition or retention. And wondering if you would consider reinvesting some of the strong incremental profits into expanding those tests and perhaps using that to reaccelerate traffic.
Geoff Donaker: Thanks for that question around marketing tests. A couple of thoughts. First off, we have, over time, experimented with a variety of different marketing programs, both in terms of business owner acquisition as well as some different marketing programs on the consumer side. Last quarter, we talked a little bit about some of the out-of-home marketing tests that we had been running in a few different European cities. So far, those have looked promising, and we've continued to sort of invest and test in a variety of marketing programs both off and online. I think you will continue to see us reinvest in Q3 and beyond, and that is baked into Rob's guidance.
Operator: We have a question from Heath Terry from Goldman Sachs.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: Rob, curious if you could kind of give us a sense. You've talked in the past about markets where you've been more aggressively trialing CPC. Curious if you could sort of talk us through what you're seeing in those markets as they've matured under that format and what that's telling you about the opportunity to move more of your inventory to kind of performance-based advertising over time, if that's even something that you think is the right thing for Yelp to do. And then within that sort of where you are in some of the earlier-stage ad formats like click-to-call and offers that you've used in the past.
Robert J. Krolik: Mark, thanks for the question. Heath -- sorry, Heath. So in terms of the -- yes, so we did, I think a year or so ago, some trials in some particular markets to see how it would work out in terms of maybe moving some specific geos, specific verticals into a CPC kind of buying opportunity, and that actually worked out fairly well. So we're at the point now where we're effectively agnostic as far as people buying from us. So if they want to buy in a subscription manner like they have done for years, and going back to the Yellow Pages days, they have done for many decades, we're happy to entertain that and provide them value. We're also happy to -- if they are a little bit more into performance-based marketing and are fully understanding the CPC dynamic and the auction bidding process, then we're also happy to sell them that. So we're kind of moving into a phase where we really are agnostic as far as how people buy our product, and what we want to do is we want to just deliver the best value that they can get. So -- and we think that either way they go, they will get great value, and I think that's what we're seeing. So we have seen nice growth in the CPC, but we're also seeing great growth in subscription revenues. So I think long term, and I think we've made this comment before and this could be anywhere from 5 to 10 years out, we think that a lot of our revenue actually will be from performance-based marketing, but that right now is definitely not the case. The majority is from subscription base. To your question about click-to-call, that's a pretty small piece of our business. We don't have a ton of customers in that arena. In terms of the offer, the deals product, that continues to grow nicely, and people are involving themselves in offering deals. But that's more of a self-serve product anyway. It's not something our salespeople actively engage with our customers on the phone, so -- but it's a nice revenue stream.
Operator: We have a question from Stephen Ju from Crédit Suisse.
Stephen Ju - Crédit Suisse AG, Research Division: Jeremy or Geoff, I guess for the older cohorts, you may still have users coming to your desktop site. But for the newer cohorts and the -- is the mix of traffic from mobile disproportionately higher by comparison? I guess another way to ask this question is from a user perspective, what are your newest users are accessing the content primarily from mobile as opposed to desktop, especially as you roll out this functionality on the app? And Jeremy, I know we talked about this before, but just wanted to check in to see if there's any philosophical change in your willingness to bring on resellers for Yelp's advertising products, because it certainly feels like Yelp Platform is just that for lead gen revenue.
Geoff Donaker: Stephen, I'll take your first question, which is around kind of cohorts and then specifically, the mix of mobile versus desktop users. We have looked at that mix of mobile versus desktop users in a variety of geographies in both the U.S. and abroad. And that mix actually has more to do with kind of overall market dynamics, not for Yelp in terms of how old the Yelp market is, but really in terms of what you see user behavior in those countries being. You might imagine that some of the Asian countries that were so early in mobile tend to be -- have a higher percentage of traffic coming through mobile than desktop. And whereas, some of the Eastern European countries are a little bit further behind in terms of mobile adoption, and so we're seeing a higher percentage on desktop. So that's really more the trend we've seen rather than anything having to do with the age of the Yelp market. And then Jeremy, did you want to talk about kind of platform?
Jeremy Stoppelman: Well, was the question about reseller partnerships or Yelp Platform?
Geoff Donaker: Yes, maybe Stephen, you could help us clarify that a little bit.
Jeremy Stoppelman: I think it was about reseller partnerships. So it's something historically we've dabbled in. We've got a partnership with Census, for example. And then on a related front, we recently announced a partnership with YP, although that's a bit different. In general, we're open to exploring all sorts of monetization opportunities. I would say reseller partnerships and the Census thing where we actually have folks out there selling Yelp ads isn't something we're particularly focused on. Something that we spent more time is something like Yelp Platform where we're able to go out and find partners and bring them right into Yelp, the Yelp experience so that consumers can actually transact with local businesses. So a great example of that would be in the food delivery category, consumers can go and through a number of partners, find the food that they're looking for, pick -- go through the menu, pick the dishes they're interested in and then put in their credit card and have that food show up at their door without ever leaving the Yelp application. And so we've on-boarded a number of partners there in that category, and there's a number of other partnerships that we talked about in other verticals. And so far, it's doing really well, and so we're very excited about that.
Operator: We have a question from Kevin Kopelman from Cowen and Company.
Kevin Kopelman - Cowen and Company, LLC, Research Division: Could you talk a little bit about advertiser satisfaction and just the feedback you're getting on the ROI from your ads? And I think in the past, you talked about churn rates being relatively stable. Is that still true?
Geoff Donaker: Well, let's start with the question around retention. There are a host of ways that we think about and can manage retention. The one that we've shared in the past has been the repeat rate, which talks about effectively, advertisers in this past quarter who also advertise us -- with us in the previous 12 months. That number this quarter was 75%, which is pretty consistent with the range it's been in really since we went public. As to advertiser satisfaction and ROI overall, we don't have any new studies to report on that. However, given Rob's comments on performance-based advertising in general, we are constantly looking at things like advertising performance rates and lead through rates and advertiser satisfaction. And while you can imagine, there's a very wide range of all those things given our 80-odd thousand advertisers today, generally, the trends have been really good, and we continue to introduce new products to help make sure that advertisers are getting as much value as they possibly can from our product suite.
Operator: The next question comes from Jason Helfstein from Oppenheimer.
Jason S. Helfstein - Oppenheimer & Co. Inc., Research Division: Two questions. One, I wanted to ask about international. I think as a percent of revenue, it's still roughly around 3%, so no change from the first quarter. Can you just talk about some of the initiatives that you guys have in place as you try to just push more advertising international? And then secondly, we continue to see other services slow as far as on a year-over-year basis. Can you kind of talk about why that is? And it -- does it have to do with just if advertisers are getting enough kind of value out of the ad product they don't need some of the other services, but maybe just talk about that philosophically?
Robert J. Krolik: Jason, thanks. It's Rob. So international was about 3% or right around 2.6 million for the quarter, up slightly from a dollar standpoint from Q1. And you're right, the same percentage from Q1. We're doing the same or similar things that we did in the U.S. 6 or 7 years ago when we started out selling advertising on Yelp in the U.S. And so we're doing some of the same things that -- in Europe and specifically in our Dublin, London and Hamburg offices. And we feel good about kind of the direction that's headed just in terms of we're gaining content, we're gaining traffic, and so now we just need to go out and monetize that. So it's going to take a while. Obviously, we said that for a bit as well, but we think that the playbook obviously plays out not only in the U.S. but internationally. To your question about other services, so I think you're referring to the other line item, which is the $4 million in the quarter, and that consists of a couple of things. That includes our partner kind of revenue from, say, Google, OpenTable, the food delivery services, those types of -- and that's all net revenue in that line item, as well as deals is in there. So there's a kind of hodgepodge of items in there. It is growing quite nicely. Obviously, deals is growing a bit. Obviously, platform, which is new in this quarter, meaning it wasn't -- it didn't exist in Q2 of 2013, so that's obviously been ramping up pretty significantly. So -- and then our partnership arrangement. So we have Locu and some other partnerships that we've been garnering revenue from. So it's like -- it's a hodgepodge of things. We're pretty pleased with how it's growing. It's growing north of 25% year-over-year, and we see some good things coming out of that.
Operator: Tom White from Macquarie.
Thomas Cauthorn White - Macquarie Research: It has to do with kind of the transactional side of your business. You guys shared some stats around Yelp Reservations, and I was wondering if you could share some maybe metrics around some of the newer platform offerings like restaurant delivery, takeout and beauty and spa. And then just on platform, it's been about a year, I think, since you announced it, and you've rolled out sort of those 3 verticals. Anything specific holding you guys back from rolling out kind of some of the additional categories that you've hinted at? Or is it just a question of sort of prioritization?
Jeremy Stoppelman: Thanks, Tom. This is Jeremy. So we're quite happy with our progress with the Yelp Platform. Yes, we don't have numbers to give out at this time, but things have been growing really quickly. There's a number of partners that we've been working with in a bunch of different verticals, most of which we have announced. I think the area where we're seeing the most leverage in what we've built is food delivery. We've on-boarded a number of partners, and now there are quite a few restaurants covered all over the country. And so that's having, obviously, a positive impact on order volume, et cetera. And so we feel good about that investment, and there's no shortage of partners that are sort of waiting to get on-boarded.
Operator: We have a question from Ron Josey from JMP Securities.
Ronald V. Josey - JMP Securities LLC, Research Division: Rob, I wanted to ask a little more about leverage in the quarter, and I think you mentioned sales and marketing was somewhat better. But can you also talk about pricing here that maybe might have driven that, and also the guidance. And then good to see mobile users here at 68 million. I'm wondering if you can break that out in terms of number of mobile web versus app. I think last quarter, you said there are about 10.9 million app users.
Robert J. Krolik: Yes, thanks Ron, and thanks for the question. In terms of leverage in the quarter, I mean, what we've seen is that sales and marketing, we're experiencing nice leverage on a year-over-year basis. It was 54% of revenue versus 56% last year. Obviously, we're hiring a lot of people, but we're continuing to experience the levers that we've always believed that we can achieve. EBITDA margins are growing. G&A as a percent of revenue also is decreasing. We're obviously investing in all the areas that we can, but we are seeing the leverage that we've always been talking about. And I think long term, we've always said that our adjusted EBITDA margins would be 30% to 35-plus percent. So the way we're looking at it is we're experiencing the things that we said that would come to pass. And on an adjusted EBITDA basis, we're right at about 19%, which is up significantly year-over-year. So we're happy with where we're at, and we're also continuing to invest. We're doing marketing programs, and well obviously, like I said, we're hiring. In terms of your question about mobile, so we had about a little over 50% growth rate in mobile. We added 68 million. At this point, we're going to not give out the app usage versus the mobile web. I can rest assure that actually app usage is growing. The number's higher. But I think going forward, what we want to do is focus on the total experience because what's happened in the last probably 6 to 12 months is we made the app and the mobile web experience very, very similar. We rolled out photos, the ability to take photos last quarter on Q1 and they're becoming more and more synonymous. So we feel like we have great growth in that, and that's how we want to characterize it.
Operator: We have a question from Justin Post from Merrill Lynch.
A. Justin Post - BofA Merrill Lynch, Research Division: I'd like just to follow up to one of the other questions about the repeat rate. Do you see a lot of people leaving Yelp and then coming back? What percent of people try other platforms and then come back and what you're seeing there? And then secondly, on Japan, how important is that country to you? And are you seeing any different on the usage or ramp up patterns there versus any other market?
Geoff Donaker: This is Geoff. First, on the repeat rate. We absolutely do see people advertise in one period and then not for a period of time and then come back again. I think this is not at all dissimilar to what you might see on a variety of other platforms, presumably how people advertise on Google and may buy or sell in some time periods but not others on eBay. And so certainly, we do see that with seasonal businesses, as well as businesses who just try other platforms or are busy for a period of time and not advertising. So not a big surprise there, and we certainly do see that kind of behavior. You asked about Japan. It's still extremely early innings in Japan, I believe. We just launched in April, but off to a really great start. Jeremy mentioned that in his opening remarks, and we're very optimistic. Are there any things different in the Japanese market? Certainly, there are a variety of differences. One that we've seen that's exciting and interesting to look at is that the number of photos that people have added in the Japanese market appears to be particularly high. And so whether that's just the first users testing out Yelp or something different in that market, we don't yet know.
Operator: And we have a question from Robert Peck from SunTrust.
Robert Stephen Peck - SunTrust Robinson Humphrey, Inc., Research Division: I have 2, please. One is, could you talk a little bit about the regional, national chains opportunity? How much have you penetrated into those types of stores, whether it be a Home Depot, a Chipotle, something like that, and how you see that progressing over time? And then Jeremy, sort of bigger picture, we've seen a lot of M&A consolidation in broadly let's call it the local markets, OpenTable, Priceline, LaFourchette, TripAdvisor. How is that impacting your strategies and your progression in the future over the next couple of quarters and years?
Geoff Donaker: This is Geoff. I'll take the first question, which was about regional and national chains. Yes, it's a huge opportunity, of course, for us to reach out to businesses that are owned at a regional or national level. There's also a very big franchise opportunity out there that we've only just begun to tap into. The signs from that group -- we do have dedicated groups for what we call mid-market and national business. We actually have a new group that's formed around the franchise businesses on our sales teams. All 3 of those teams have been performing extraordinarily well for us over the last year or 2. And so while I don't have any specific new numbers on that, I could tell you that, that is an earlier part of our business and then what we think of as the local level [ph] [Audio Gap]
Operator: Please hold on one moment. The speakers will be back on in just a moment. [Technical Difficulty]
Operator: The next question we have is from Eric Sheridan from UBS.
Eric James Sheridan - UBS Investment Bank, Research Division: I guess one big picture question for Jeremy would be, so you're seeing a lot of competitors, especially internationally, now sort of pushed down the funnel and into areas like local discoveries, especially with Priceline buying OpenTable, TripAdvisor, Google. How do you think about your strategic positioning today and how you might address that longer term both organically and inorganically? And then a more nuanced question around sales force productivity. Curious if sales force productivity is going up in terms of the ROI you're seeing from a new salesperson once they age up the curve on sort of 8-, 12-, 15-month type basis. Or is that sustained relatively static, and how you think about that developing longer term and their ability to be able to sell into more accounts?
Robert J. Krolik: Eric, this is Rob. I just want to jump in real quick. We were dropped from the call, so we just dialed back in, so apologies for that. I'll let these guys answer your questions. Go ahead.
Jeremy Stoppelman: Sure. This is Jeremy, and you were asking about international competition, so I'll take that part. I think basically our approach remains unchanged, and there's obviously been some M&A activity, particularly international, as you mentioned, Priceline, TripAdvisor with their purchases. But I think fundamentally, we remain focused on fostering growing communities and the content quality as the way to grow and penetrate into these markets, and we continue to see success in growing our communities. And we think ultimately, as we have more and more high-quality content that it'll be recognized and we'll become a stronger and stronger brand in the markets that we're operating in.
Geoff Donaker: And to your question about sales force productivity, it has remained relatively constant over the last couple of years. So really nothing new to report there one way or the other.
Operator: And the next question is from Chris Merwin from Barclays.
Christopher Merwin - Barclays Capital, Research Division: With the Yelp Reservations feature, who are the early adopters of that product so far? I realize you still have the partnership with OpenTable. So is it fair to assume that this is a different set of restaurants who are using Yelp Reservations? And also, do you anticipate any change in that partnership now that OpenTable is part of Priceline? And then secondly, just a quick one as it relates to mobile usage, can you comment at all about what the early impact has been from the messaging feature and I guess just in terms of usage and engagement?
Jeremy Stoppelman: Sure. So this is Jeremy again. So on Yelp Reservation, I think it's a fantastic product for restaurants that maybe would be overserved by a full front of house management product. And so the way that it works is you kind of just click a few buttons, set a few configuration dials and you're live with reservations on Yelp. You can also grab a widget and put that on your own website. And so you're accepting reservations in a very professional way, just as you would if you had an OpenTable. But then the way that you actually receive information about those reservations is just over email. So it's a very lightweight, simple product. And I think as a result, it appeals to lots of businesses that really wouldn't have considered a full-service product like OpenTable or even SeatMe's full service offerings. So I think what it really does that's exciting is expand the overall market of potential restaurants that would be interested in online reservations. And I think that's reflected by the progress that we've seen since launching the feature with thousands of restaurants now using that, and so we're very excited with the direction that that's going in. You mentioned, is there any plans to change or what's going on with the OpenTable partnership. I think both we and, as far as I know, OpenTable/Priceline continue to be happy with the relationship that we've got. And so that continues on, and we continue to book lots of reservations through Yelp and the Yelp Platform as they go to OpenTable. And so I think that remains unchanged. Finally, I think you asked about mobile and particularly Message the Business feature that launched in the last quarter, and I think we've certainly seen a lot of early traction with that. Consumers are messaging businesses. In my comments, we talked about a specific example where a Mexican catering business was -- literally received something like 30 qualified leads and is able to interact back and forth just over email with their customers or with their potential customers. And so again, a very lightweight, simple product that's free for any business that claims, and it's showing traction in growth. And so we're happy about that. I think it's a win-win where business owners are obviously getting to connect with potential customers and consumers just have another really easy way to reach out and connect with those business owners.
Operator: And we have a question from James Cakmak from Telsey Advisory Group.
James Cakmak - Telsey Advisory Group LLC: So you guys are obviously still in investment mode. Can you just talk about how you prioritize your investments across the different product categories? And then when we look overseas, can you provide some detail on how we should think about the incremental costs associated with opening up new markets internationally? And then on the Message the Business feature, that definitely sounds like it's off to a good start. But can you discuss how you're thinking about the analytics around that and potentially communicating additional ROI type of communications with businesses to achieve potentially greater wallet share with them?
Robert J. Krolik: Thanks, James. This is Rob. For prioritizing investments, I think, what we're really right now in the mode of just hiring more folks to bring on board, obviously from a sales perspective, to reach out to the tens of millions of businesses that are out there and help them identify that Yelp is a great source of leads. Obviously, engineering and product, we're always looking for great, talented folks to come on board and do -- create all these wonderful products for our customers and consumers. So from that perspective, that's how we're looking at it. I'd say from opening up new markets, we're only in 27 countries at this point where there's many more to go. We obviously want to invest in those different countries and open them up. Investment initially is a little bit, but ongoing it's fairly minor only because once you say launch, say, Japan and you place somebody in, say, Kyoto or Tokyo, it's that community manager that sits and helps foster and support the community to grow it and nurture it so that it becomes a thriving community that contributes high-quality content. And that investment is not a ton on a dollar standpoint, but it does take a long time. So you're talking probably 3 or 4 years of that community manager developing and fostering that community of people to generate that great content. So I think we'll go as rapidly as we can. We've always kind of quoted the Goldilocks approach, not too fast, not too slow, and I think we've been able to achieve that so far. And what's nice about it is we're also generating a profit now that we can clearly show the leverage that's occurring in the business.
Jeremy Stoppelman: And James, the second part of your question about Message the Business and how does that feed into analytics to help business owners and ultimately ROI around advertising and so forth. I think it's a very natural -- it feeds very naturally into those things. And you can imagine that if you're a business owner and you're wondering, "Hey, how do I get value out of Yelp?" and suddenly you're getting messages from real customers that are interested or potential customers that are really interested in your business, and you're having a conversation through Yelp because they're messaging you. You receive an email. It's Yelp branded. You reply to that email. The consumer on the other end gets a response through Yelp and then again, back and forth. It's actually very easy and very tangible in understanding how did Yelp play a role in helping you find that customer. And so I think we will bake metrics into the Yelp business owner dashboard, but I think there's a very few examples that are so clear-cut about how Yelp is driving value to you, the business owner, when you get one of those emails.
Operator: At this time, I would like to turn the call back to management for closing remarks.
Robert J. Krolik: Thanks, everyone, for joining us today. Again, apologize for the glitch in the Q&A, but see you next time. Thanks.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.